Operator: Ladies and gentlemen, welcome to the Hilltop Holdings First Quarter 2023 Earnings Conference Call and Webcast. My name is Glenn, and I will be the moderator for today’s call. [Operator Instructions] I will now hand you over to your host, Erik Yohe, Executive Vice President of Hilltop Holdings. Erik, please go ahead.
Erik Yohe: Thank you, operator. Before we get started, please note that certain statements during today’s presentation that are not statements of historical fact, including statements concerning such items as our outlook, business strategy, future plans, financial condition, allowance for credit losses, liquidity and sources of funding, the impact and potential impacts of inflation, stock repurchases and dividends and impacts of interest rate changes as well as such other items referenced in the preface of our presentation are forward-looking statements. These statements are based on management’s current expectations concerning future events that, by their nature, are subject to risks and uncertainties. Our actual results, capital, liquidity and financial condition may differ materially from these statements due to a variety of factors, including the precautionary statements referenced in our presentation and those included in our most recent annual and quarterly reports filed with the SEC. Please note that the information presented is preliminary and based upon data available at this time. Except to the extent required by law, we expressly disclaim any obligation to update earlier statements as a result of new information. Additionally, this presentation includes certain non-GAAP measures, including tangible common equity and tangible book value per share. A reconciliation of these measures to the nearest GAAP measure may be found in the appendix to this presentation, which is posted on our website at ir.hilltop-holdings.com. With that, I will now turn the presentation over to President and CEO, Jeremy Ford.
Jeremy Ford: Thank you, Erik, and good morning. For the first quarter, Hilltop reported net income of $26 million or $0.40 per diluted share. Return on average assets for the period was 0.7% and return on average equity was 5.1%. Although there was a considerable amount of volatility in the banking industry this past quarter, we entered the year with a strong balance sheet and feel very good about the position we are in. We have always managed our capital, funding and liquidity for the long-term and through various potential rate environments so we can continue to support our customers during times like this. Specifically, we have over $7 billion in available liquidity, a common equity Tier 1 risk-based capital ratio of 18% and a diversified and granular deposit base. We will continue to prioritize the health and soundness of our balance sheet and believe this will create opportunities for us over time. PlainsCapital Bank generated $58 million of pretax income on $13.7 billion of assets, generating a return on average assets of 1.4%. Average loans at PlainsCapital Bank increased $133 million in the quarter or 8% annualized as both core bank commercial loans and retained mortgage balances increased. While the growth was strong, we are starting to see a slowdown in our pipeline as clients react to higher interest rates. Average bank deposits remained relatively stable despite the turmoil in the banking industry. Our total deposits declined 3% for the quarter, but importantly, our core bank customer deposits only declined by approximately 1% from levels immediately prior to the bank failures until the week after. Though deposit declines has occurred, as customers deploy their cash into projects or seek higher-yielding often government alternatives, we have not seen any notable customer attrition directly related to the after effects of the recent bank failures. Out an abundance of caution though, we drew down FHLB advances, which our bank previously had not utilized at all in March. And we moved an additional $300 million from Hilltop Securities sweep deposit program into the bank. These moves were purely offensive as we did not need the liquidity from an operational standpoint. We have not utilized the new bank – Fed bank term funding program, and we do not foresee a need in the immediate future. As a result of our actions and the strong liquidity position our bank entered the year with, we ended the quarter with over $1.7 billion in cash at the Fed. Credit quality remained strong during the quarter with nonperforming loans declining by $3 million or 10% from the fourth quarter and a net charge-off ratio at average bank loans of 2 basis points. Overall, our bank produced strong results from net interest margin expansion, minimal credit costs and a meaningful expense discipline. Moving to PrimeLending. Loan volume and profitability remain under pressure because of the impact to consumers from persistent low housing inventory, high mortgage rates and high home prices. As well, continued excess industry capacity is driving a hypercompetitive pricing environment as too many lenders contend for two few origination opportunities. Until relief of some or across all of these factors occurs, meaningful expansion of production volume, gain on sale margins and overall profitability will remain challenged. In response to these circumstances and the approximate 60% reduction in industry volumes since pandemic induced record highs. PrimeLending has taken substantial measures to resize the business and correspondingly reduce its expense base. Headcount reductions, consolidation of unprofitable branches and targeted fixed cost adjustments were executed during the quarter. PrimeLending originated $1.7 billion in volume with a gain on sale margin of loans sold to third parties of 193 basis points. Origination volume declined by 54% from the prior year, roughly in line with overall industry volume projections of 52%. We expect pressure on the mortgage business to continue as interest rates remain elevated and low inventories persist. Our team at PrimeLending has done an excellent job of reducing fixed costs by taking difficult necessary actions to resize the business for what we believe will be a smaller mortgage market for the foreseeable future. HilltopSecurities realized pretax income of $13 million on net revenues of $105 million during the quarter. Pretax profit improved compared to last year’s first quarter due to a 45% increase in net revenues. The revenue improvement was primarily driven by a $26 million increase in trading profits from both structured finance and fixed income services and a $13 million increase in sweep deposit revenues from our wealth management business. The growth in revenue in these areas helped offset a slower quarter for municipal issuance as volumes were down across the industry. Moving to Page 4. As I stated earlier, Hilltop maintained strong capital levels with a common equity Tier 1 capital ratio of 18% at quarter end and our tangible book value per share increased from Q4 2022 by $0.18 to $27.36. The improvement in tangible book value per share was driven by both net income and a decline of $8 million in our accumulated other comprehensive loss during the quarter. Though tangible book value per share declined year-over-year, it is important to note that was substantially driven by unrealized declines in our AOCI as well as the substantial tender offer we completed in 2022. Although, the tender was slightly diluted to tangible book value, we believe the size and pricing of that capital deployment drove significant value for our shareholders. Additionally, we repurchased $4.5 million of shares and declared our dividend of $0.16 during the quarter, which is an increase from the same period in the prior year. Overall, the start to the year at the bank and Hilltop Securities were very positive. We grew bank – core bank loans while continuing to improve overall asset quality. We did see deposit declines, which was expected, but anticipate the actions we have taken will slow the pace of declines and enable us to build them back once rates stabilize. Our balance sheet is in a strong position with robust capital and liquidity levels. The health and soundness of our balance sheet are paramount to the organization at this time, and I am grateful for the collective efforts our team has put into fortifying it. Moving forward, we remain confident in the value of our diversified business model, the strength of our employee base, and our ability to adapt and succeed in an ever-changing environment. With that, I will now turn the presentation over to Will to walk through the financials.
William Furr: Thank you, Jeremy. I’ll start on Page 5 that Jeremy discussed for the first quarter of 2023, Hilltop reported consolidated income attributable to common stockholders of $25.8 million equating to $0.40 per diluted share. During the quarter solid year-over-year net interest income growth was offset by ongoing headwinds in the mortgage business as volumes and margins remain challenged. Further, first quarter’s results do reflect certain discrete tax items that reduce the overall tax expense in the period. The estimated EPS impact of these items is $0.04 per share, and we do not view these items as recurring. Further, we expect that the full year GAAP tax rate will remain within the range of prior guidance at 22% to 24%. Turning to Page 6. Hilltop’s allowance for credit losses increased by $2 million to $97.4 million as improvement in the macroeconomic outlook was offset by the impact of collective portfolio changes. The portfolio changes were driven by net loan growth in the portfolio, which accounts for approximately $4 million of the change and the ongoing updating of risk grades as year-end financials are captured, which accounted for approximately $3.4 million of the change. Allowance for credit losses of $97.4 million yields in ACL to total loans HFI ratio of 1.19% as of March 31, 2023. Of note, we continue to believe that the allowance for credit losses could be volatile and the future changes in the allowance will be driven by net loan growth in the portfolio, credit migration trends and changes to the macroeconomic outlook over time, given the current uncertainties regarding inflation, interest rates, the future outlook for GDP growth and unemployment volatility, we could expect heightened volatility over the coming quarters. Moving to Page 7. Net interest income in the first quarter equated to $122 million, including $1.9 million of purchase accounting accretion, versus the prior year first quarter net interest income increased by $22 million or 22% driven primarily by higher yields on loans, securities and cash balances, which were somewhat offset by higher rates on deposits and variable rate borrowings. Net interest margin continue to improve versus the fourth quarter of 2022, increasing by 5 basis points to 328 basis points. Our current outlook reflects a scenario whereby Fed funds moves to between 5 [ph] and 550 basis points during the first half of 2023 and remains stable for the balance of the year. Further, we expect the deposit competition for both balances and rates will remain very intense for the remainder of the year causing NII and NIM to begin declining during the second quarter. As we noted in our prior quarterly update, we do expect the deposit betas, which we have historically modeled at 50% of the cycle increases from the Federal Reserve will exceed 60% during this cycle given the current competitive environment. Turning to Page 8. In the chart, we highlight the approximately $7 billion of available liquidity sources at Hilltop maintained as of March 31. While we consider the Federal Reserve’s discount window to be a source of liquidity, we do not plan to leverage that program under our internal liquidity modeling efforts, and as such, it’s noted below our other collateralized borrowing sources. Further, the comparable liquidity sources as of December 31 equated to just over $7 billion and remained relatively stable throughout the first quarter. As shown in the chart at March 31, Hilltop maintained $1.6 billion of excess cash through deposits at the Federal Reserve. Included in the excess deposit Federal Reserve during the first quarter, we swept approximately $650 million of additional deposits from our eligible Hilltop Securities FDIC insured balances in the PlainsCapital, and those balances are reflected in the deposit balances in the chart on the right side of the page and on subsequent pages. Further, we borrowed $450 million from the Federal Home Loan Bank with terms of a few weeks. The next two to three quarters, we expect to maintain excess deposits of between $1.5 billion and $2 billion at the Federal Reserve. Additionally, in the bottom left chart, we provide some detail on the pace of the deposit beta changes to date, and note our expectations for future changes in interest-bearing deposit rates under the view that the Federal Reserve continues to move short-term rates higher. I’m moving to Page 9. First quarter average total deposits are approximately $11 billion and have declined by approximately $350 million or 3% versus the fourth quarter of 2022. On an ending balance basis, deposits declined by $219 million to $11.1 billion from the prior quarter ending balance level. Of note, approximately $360 million of customer deposits moved from an on balance sheet deposit account in the money market mutual funds or treasury investments within the PlainsCapital private bank. We view this as a favorable outcome as we’ve retained the balances at our company while aiding the customer in achieving higher yields. We would expect that these balances could shift back into the bank deposits over time as market rates adjust through the next leg of the rate cycle. While we expected deposits to decline during the first quarter, given the level and speed of market interest rate adjustments coupled with our decision to manage interest-bearing deposit costs with a significant lag, we have seen that customer activity has significantly shifted as customers are seeking higher interest rates and their focus as resulted in higher price elasticity at each tier and product level. During the quarter, we adjusted our deposit pricing approach to become more competitive across our most liquid products. As a result, interest bearing deposit costs rose to 201 basis points, an increase of 44 basis points from the prior quarter. It is our expectation in interest bearing deposit costs will move higher during the second and third quarters, given our stated views on the path of potential rate increases from the Federal Reserve and the updates we’ve made to our pricing approach. As it relates to deposit balances and costs, we remain focused on balancing our competitive position with our long-term customer relationships, while continuing to focus on prudent management of net interest income over time. However, the current environment remains challenging and as noted earlier, we expect that the intensity of competition for deposits will continue to pressure rates higher in the short and medium terms. I’m moving to Page 10, total non-interest income for the first quarter of 2023 equated to $162.5 million. First quarter mortgage related income and fees decreased by $74 million versus the first quarter of 2022, driven by the ongoing challenges in mortgage banking were by the combination of higher interest rates, home price inflation, limited housing supply, and the ongoing overcapacity in terms of mortgage originators across the U.S. has driven volumes materially lower and move margins to levels we’ve not seen in recent history. Further, versus the prior year first quarter, purchase mortgage volumes decreased by $1.1 billion or 42% and refinance volumes decreased by $900 million or 88%. During the first quarter of 2023, gain-on-sale margins continued what has been a multi-quarter decline, the gain-on-sale margin for loans sold to third parties declining 18 basis points to 193 basis points. Our gain-on-sale margins have been pressured, we are continuing to see the customers are paying to buy down their interest rate. And as such, mortgage origination fees have declined less sharply versus the prior year period. We expect that gain-on-sale margins will continue to be pressured, and while they have begun to stabilize at these lower levels, it is not clear win and by how much the market will rebound during 2023, given the current constraints in the marketplace that I noted earlier. Other income increased by $29 million, driven primarily by improved lock and trading – lock volume and trading activity in our structured finance business at Hilltop Securities. It is important to recognize that both the fixed income services and structured finance businesses at Hilltop Securities can be volatile from period to period. They’re impacted by interest rates, overall market liquidity, volatility and production trends. Turning to Page 11. Non-interest expenses decreased from the same period in the prior year by $36 million to $250 million. The decline in expenses versus the prior year first quarter was driven by decrease in variable compensation were approximately $31 million at PrimeLending, which was linked to lower fee revenue generation in the quarter compared to the same period prior year. Additionally, non-compensation variable expenses, particularly mortgage production related expenses, which are captured in other expenses in the table in the upper right of the slide, declined as production volumes decline versus the first quarter prior year. Looking forward, we expect expenses other than variable compensation will remain relatively stable as the ongoing focused efforts related to streamlining our operations and improving productivity continue to support lower headcount and improve throughput across our franchise, helping to offset the ongoing inflationary pressures that persist in the market. Turning to Page 12. First quarter average HFI loans equated to $7.9 billion in 2023, relatively stable with the prior year first quarter levels. On a period ending basis, HFI loans grew versus the fourth quarter of 2022 by $100 million driven by improving commercial loan growth, particularly in commercial real estate and the retention of one to four family mortgages originated by PrimeLending. Given the current market conditions, including the inverted yield curve, which has substantially impacted the economic value of holding mortgage loans on the balance sheet, we expect to substantially reduce our one to four family mortgage retention levels from $75 million to $150 million per quarter to between 0 and $20 million per quarter for the remainder of 2023. In addition, we do expect commercial loan production to begin this slow in the second quarter and throughout the balance of 2023. Currently, we are expecting full year average loan growth of 0% to 2% for the full year 2023. Turning to Page 13. In the graph in the upper right of the page, we show the progress made in reducing NPAs throughout 2022, which has continued into this year. Credit quality has remained solid through the first quarter, and while we do not see any prevailing trends that causes outsize concern in our portfolio, we are watching the portfolio closely with higher interest rates, potentially lower utilization rates in certain segments of commercial real estate, and an expected slowdown in economic activity could have a negative impact on our clients and our loan portfolio. As is shown on the graph, the bottom right of the page, the allowance for credit loss coverage at the bank ended the first quarter at 1.23%, including mortgage warehouse lending. Turning to Page 14. As we move into the second quarter of 2023, there continues to be a lot of uncertainty in the market regarding interest rates, inflation, and the overall health of the economy. We’re pleased with the work that our team has delivered to position our company for times like these, and our teammates across our franchise remain focused on delivering great customer service to our clients, attracting new customers to our franchise, supporting the communities where we serve, maintaining a moderate risk profile and delivering long-term shareholder value. As is noted in the table, our current outlook for 2023 reflects our current assessment of the economy and the markets where we participate. Further, as the market changes and we adjust our business to respond, we will provide updates to our outlook on future quarterly calls. Operator, that concludes our prepared comments and we’ll turn the call back to you for the Q&A section of the call.
Operator: Thank you. [Operator Instructions] We have our first question comes from Brady Gailey from KBW. Brady, your line is now open.
Brady Gailey: Yes, it’s Brady. Good morning, guys.
Jeremy Ford: Good morning.
Brady Gailey: So I wanted to start just with mortgage. I know the headwinds that exist there. If you look at the last three quarters, it’s been at a pretty notable loss position for the bank. Is there an opportunity to further reduce non-variable expenses at mortgage to get that business to at least a point of break even? Or what are your thoughts on continued mortgage expense rightsizing and when we should expect to see that unit get out of the red and back into the black.
William Furr: Brady, it’s Will. You highlight the issue. It’s been a challenging few quarters in really last year for the mortgage business. As we are evaluating that franchise first, it’s worth noting, it’s a significant portion – it has been a significant portion of our business over the years and will continue to be. And as we evaluate it, we are solely focused on long-term and making sure that we maintain a robust franchise to take advantage of that market when it does rebound. I think to – acutely to your point around profitability, profitability for the full year is going to be challenging, certainly, given where the first quarter came in, we did take I’d say substantial actions in March and early April to continue to reduce fixed cost. Objectively, we expect the loss level to continue to decline for the balance of the year and move us to a position where for 2024, we would expect to be at a run rate level of break even or better, just given where the market dynamics are. I think as we sit here we’ve got to – we are being careful and prudent given the gain on sale margins at a 193 basis points to third parties as well as the overall volume in the marketplace. We think that gain on sale level is unsustainable and we’ll recover at some point I think the challenges kind of win and by how much and I’ve tried to cover that in my comments. But again, from a cost perspective, we continue to make steps every month and every quarter with the leadership team at Prime and again with a focus on improving or reducing the overall loss each quarter. But again, the market dynamics in a one handle in front of the gain on sale makes profitability a real challenge.
Jeremy Ford: And I’m hopeful that this is the bottom on margins and that the over capacity is really being pulled out of the business. You are seeing some M&A and some other activity with like Wells Fargo and everything in the last quarter that would lead us to believe that we are – the cycle is turning, but it’s still not profitable.
Brady Gailey: Okay. And in the first quarter, was there any meaningful adjustment to the MSR valuation?
William Furr: Yes. We had about a $5.7 million negative adjustment to the value of the MSR, really reflecting. I think the market’s view that and a valuation view that the current loans going on the books are going into the MSR with a 6%, 6.5% rate are going to have a higher propensity to refi if you believe the Fed’s going to move rates lower in the short-term. So we did make that valuation adjustment. That’s a pretax. That was a pretax, yes.
Brady Gailey: Pretax number, okay. And the $5.7 million, is that net of hedges? Did you guys hear me?
William Furr: Yes. It was net of hedges. Yes.
Jeremy Ford: That’s correct.
Brady Gailey: Okay. Yes, net of hedges. All right. And then my final question is just on the tax rate. I know it was abnormally low in the first quarter, you’re still sticking to the 22% to 24% guidance. So that would kind of suggest that the effective tax rate ticks up to like, I don’t know, 26% to 27% for the rest of the year. Is that – am I thinking about that right?
William Furr: I think – yes, I mean, historically the first quarter, well, so the discrete items did bring the effective tax rate down to 11.4%. I think what we are expecting is as you saw second half of last year 25% to 26% is probably the normal run rate. First quarter is always historically low from an effective tax rate perspective due to some of the stock compensation related items that normally go through. So it’s historically a below trend ETR. That said, we would expect 24% to 26% for the recurring – for the remaining three quarters, but that will bring us in and likely will bring us in forward the lower end of that range for the full year.
Brady Gailey: Okay. And one more, just – I mean you guys still have excess capital. I know that M&A is tough right now, given the backdrop, but I also know that Hilltop tends to buy stuff that’s out of favor in tough times. So maybe just an update on how you’re thinking about M&A and is that a possibility today?
Jeremy Ford: Sure. Well, I mean I clearly think that last quarter was a sea change. And we’re still interested in doing M&A. We’re still interested in doing deals that are strategic fits for our business. And on balance, just with the change in market prices, it better positions us in our currency.
Brady Gailey: All right, great. Thanks guys.
Jeremy Ford: Thanks.
Operator: Thank you, and my apologies, Brady. Our next question comes from Brad Milsaps from Piper Sandler. Brad, your line is now open.
Brad Milsaps: Hi, good morning guys.
Jeremy Ford: Good morning.
William Furr: Good morning.
Brad Milsaps: Am I coming – Yes. Am I coming through? Okay. Thanks for taking my question. I was just curious if you could talk a little bit about the change in guidance on the broker-dealer segment. Just kind of curious as the areas you’re seeing more strength or is it really a function of revenues feeling better about revenues sort of hanging in this range. I guess you had that really low first quarter last year. So it kind of throws the year-over-year growth off a little bit. But just kind of curious what you’re seeing and kind of how to think about the change in the broker-dealer guidance?
Jeremy Ford: Yes, let me speak and then Will talk specifically to the guidance. But I think, first of all, in the first quarter of last year, we had – it was a really challenging quarter, and we had some a really muted structured finance first quarter. This has been the opposite this quarter and we’ve had some really strong trading gains in the quarter, which I don’t necessarily know before we’re going to rely on those to persist throughout the year. But what is persistent is our sweep revenue, just given the rate environment, and that was up to $15 million for the quarter. So we do feel good about the momentum and the revenue and several other businesses performing well at HilltopSecurities really throughout the next – rest of the year.
William Furr: And Brad, I think that covers it. So you’ll see the sweep revenue show up in retail and clearing services in the revenue items at the broker-dealer. But that’s really the primary contributor to the increase in the overall outlook, coupled with, as Jeremy mentioned, a stronger first quarter than we might have otherwise expected.
Brad Milsaps: And Will, just back to the expense conversation. What are really most of the expense saves coming at Prime? Or I did notice too that the expenses, at least on a linked quarter basis, I know that’s maybe not the best comparison we’re down to at the bank. But just kind of curious if you could maybe delve into the kind of sources of – or the primary sources of the expenses? Or is it really just kind of across the franchise?
William Furr: I think the preponderance of the expense saves have occurred at Prime. But that said, we are – with the work we’re doing there to right size the business to meet the market from a profitability perspective. But across as we have and as we’ve continued, we are looking for productivity improvements and enhancements across the bank as we reevaluate a series of core processes there. That team is doing a very nice job kind of managing expenses over time in what’s otherwise been a pretty inflationary environment. I would say exactly the same for HilltopSecurities. Again, continue to evaluate large processes where we can improve productivity and throughput, and we’re doing that across. So it’s been across the franchise where we’ve seen kind of headcount declines and overall productivity improvement, but the preponderance of the cost saves have come from PrimeLending.
Brad Milsaps: Got it. And then just final one for me to follow-up on Brady’s question on M&A, I mean, you guys historically have been proactive when things look toughest for the sector. Can you just talk about sort of how you think about maybe buying a bank that might have really low TCE because of marks that you would potentially have to take on a bond portfolio. You guys are typically a cash buyer or can put a lot of cash in a deal to make it work. Just kind of curious how your approach might be different or not in this environment kind of given everything’s on – everything that’s gone on and opportunities you may or may not see.
Jeremy Ford: Sure. Well, from a balance sheet perspective, we feel like we have a very strong balance sheet that can be – can solve for issues of a potential target certainly and the combined entity could get past a lot of this overhang that that’s out there. And just by nature of where stocks have drifted and where we’ve kind of always been around tangible book value, our ability to transact is better whether it’s cash or our stock.
Brad Milsaps: And Jeremy, what would an ideal candidate look like? I mean smaller banks tend to have a lot more CRE obviously that is not in vogue right now, but just kind of curious, if you were drawing it up, what would it look like? Would it be necessarily certainly in Texas or you might you look elsewhere just kind of curious kind of what your criteria might be.
Jeremy Ford: Well, I think it would be – it would make a better strategic fit to be in Texas and to be similar business. And look, I mean, I think we’re working hard to stay on top of what’s going on in the market. And we also are going to be patient and careful in this environment, not just from a balance sheet liquidity standpoint, but also from a potential credit standpoint.
Brad Milsaps: Okay. Great. Thank you, guys.
Jeremy Ford: Thank you.
Operator: Thank you. We have our next question comes from Thomas Wendler from Stephens, Inc. Thomas, your line is now open.
Thomas Wendler: Hey, good morning, everyone.
Jeremy Ford: Good morning.
William Furr: Good morning.
Thomas Wendler: Lots of moving pieces this quarter in excess liquidity. We’re bringing on the sweep deposits and some borrowings from the FHLB. Can you give us an idea of what kind of levels of excess liquidity you’re looking to hold on the balance sheet moving forward?
William Furr: Yes. This will as I noted in my comments, objectively, we are looking to hold between $1.5 billion and $2 billion of deposits at the Fed. And so we’ll manage the levels and manage the levels to do that. The levers we have to do that really out of an abundance of caution that’s not an operating level that we necessarily need. But as we sit here today with the uncertainty around the economy, potentially uncertainty around the banking segment, we want to make sure we’re nimble and agile in the event something else were to occur.
Thomas Wendler: Thank you. And then one final one for me. I think you were a little less active in the buyback than we were expecting. Can you just give me your – an idea of your appetite from here in your buyback program?
Jeremy Ford: Sure. So for the first quarter, I mean, if you recall, we filed our 10-K was filed kind of late in the quarter, so our window was pretty narrow. And then we were just trying to do a little bit of activity while we had an open window. Since then, where our share repurchase authorization, we still got about $70 million left, but I think we’re going to proceed cautiously there, clearly given the state of balance sheets and liquidity and…
Thomas Wendler: All right. Thank you for answering my questions.
Jeremy Ford: Thank you.
Operator: Thank you. We have no further questions on the line. Ladies and gentlemen, this concludes today’s call. Thank you for joining. You may now disconnect your lines.